Operator: Good day, and welcome to the Regal Rexnord First Quarter 2022 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded.  I would now like to turn the conference call over to Mr. Robert Barry, Vice President, Investor Relations. Mr. Barry, the floor is yours, sir.
Robert Barry: Great. Thank you, operator. Good morning and welcome to Regal Rexnord's first quarter 2022 earnings conference call. Joining me today are Louis Pinkham, our Chief Executive Officer; and Rob Rehard, our Vice President and Chief Financial Officer.  Before turning the call over to Louis, I'd like to remind you that the statements made in this conference call that are not historical in nature are forward-looking statements. Forward-looking statements are not guarantees since there are inherent difficulties in predicting future results, and actual results could differ materially from those expressed or implied in forward-looking statements. For a list of factors that could cause actual results to differ materially from projected results, please refer to today's earnings release and our SEC filings. On Slide 3, we state that we are presenting certain non-GAAP financial measures in the presentation. We believe these are useful financial measures to provide you with additional insight into our operating performance and for helping investors understand and compare our operating results across accounting periods and in the same manner as management. Please read this slide for information regarding these non-GAAP financial measures, and please see the appendix for reconciliations of these measures to the most comparable measures in accordance with GAAP.  Turning to Slide 4. Let me briefly review the agenda for today's call. Louis will lead off with his opening comments. Rob Rehard will then provide our first quarter financial results in detail and discuss updates to our 2022 guidance. We'll then move to Q&A, after which, Louis will have some closing remarks. And with that, I'll turn the call over to Louis.
Louis Pinkham: Great. Thanks, Rob and good morning, everyone. Thanks for joining us to discuss our first quarter earnings and to get an update on our business, and thank you for your interest in Regal Rexnord. I am really pleased to report that 2022 got off to a very strong start for Regal Rexnord, with solid first quarter operating performance plus significant progress on our M&A integration and longer-term growth and margin initiatives.  In the quarter, the company achieved 15% organic top line growth, posted 200 basis -- 280 basis points of adjusted gross margin expansion and realized 250 basis points of adjusted EBITDA margin expansion. Our top line performance was boosted by clearly identified a bold share gains in many parts of our business, while our margin expansion was underpinned by among other factors, achieving positive price cost and realizing strong merger synergies in MCS. And with first quarter orders up 10% and a record backlog, our revenue prospects are solid. Our PMC and Arrowhead integration activities are progressing nicely, and I'd like to congratulate the PMC integration team that through strong execution was able to accelerate a number of our synergy actions allowing us to start realizing savings a bit sooner than we had previously planned. While our results in the first quarter were strong, the global supply chain continues to be challenged and new supply chain headwinds arose during the quarter related to COVID containment efforts in China.  The good news is that our Regal Rexnord team has been successful confronting all challenges head on, and I believe that is apparent in our results and updated outlook. So before going any further, I'd like to say a sincere thank you to our 30,000 associates around the world. It is your disciplined execution, embrace our 80/20 principles and continued adherence to our legal Rexnord values even as we faced persistent personal and professional challenges, that is allowing us to serve our customers at a high level, gain share and meet our financial commitments while continuing to invest in our business.  One of the things I am most proud of and most excited about as I look ahead, are the share gains our teams have been achieving in recent quarters. I attribute these gains to a number of factors, including execution that's a little better than some of our competitors. Our 80/20 mindset and our digital investments that are making it easier for our customers to transact with us. New product development has also been gaining momentum as our teams strengthened the muscle around driving customer intimacy and leveraging voice of the customer to make products that are purposeful for our customers and deliver value, they are willing to pay for. Value we measure with the gross margins we earn on selling them.  A common denominator of all new product development at Regal Rexnord is being mindful of our business purpose, creating a better tomorrow by energy efficiently converting power into motion. And while driving energy efficiency essential to our purpose, our teams are also thinking more broadly about the environmental impact of our products. A great example is pictured on this slide. Our Rexnord branded Gear Drive sold through our MCS segment which is commonly used in metals and mining, pulp and paper and aggregates end markets.  In the example pictured a customer in the aggregates market was having to perform excessive oil changes because it did not have a good way of measuring oil quality in its prior gear drives. While run time is typically used to time oil changes, this is a rudimentary approach and often results in excessive cost and oil waste. In response, our Regal Rexnord engineers developed a continuous oil monitoring solution with an IoT sensor and control board that uses proprietary algorithms to identify when oil degradation has occurred.  The result is increased run time, reduced frequency of oil changes, lower operating costs and lower hazardous waste disposal. The gear drive is also equipped with remote monitoring capabilities, which connects to an online dashboard and enables robust diagnostics and prognostics resulting in further operating efficiency gains for the customer, a real win.  Before turning the call over to Rob, I'd like to share some perspective on the operating environment expected in second quarter. As you may remember, when we set our guidance for this year, we decided to take a more conservative approach capturing our strong orders and record backlog, but retaining some caution around supply chain constraints and inflation. In short, I am glad, we did because unfortunately, the operating environment became riskier during the first quarter related mainly to the situation in Ukraine and to a lesser extent, the China government's COVID containment efforts.  The situation we are experiencing in China included a whole city lockdown in Shanghai starting on April 1. The local port is open, but logistics around it have been restricted. For Regal, a couple of our facilities were impacted, but we're able to resume partial production earlier this week and should be fully operational in May. However, we continue to confront challenges related to a number of our suppliers not being fully operational.  Fortunately, all of our associates in the region are safe. And notably, vaccination rates among our team in China are nearly 100%. As a result of the lockdown, our sales have seen a modest negative impact to start second quarter. However, net of expected catch-up activity and assuming current plans for relaxing recent government COVID containment protocols, we believe the ultimate net impact will be minimal for Regal Rexnord.  Turning to Ukraine. I think it goes without saying that the situation is both horrifying and saddening, and our thoughts and prayers are with the people of Ukraine. From a business perspective, Regal Rexnord has very little exposure to either Russia or Ukraine. That said, the macroeconomic ripple effects of the crisis are just starting to be felt, but likely raise risk to the macro outlook in Europe and perhaps more broadly. I'm not going to speculate. But rest assured that we are monitoring the situation closely and will remain focused on what's under our control, keeping our associates safe, executing our M&A synergy plans, continuing to pursue our numerous growth and margin expansion initiatives and remaining balanced when it comes to capital deployment. And with that, I'll turn the call over to Rob to take you through our first quarter performance in more detail.
Robert Rehard: Thanks, Louis and good morning, everyone. As you heard, Regal Rexnord had very strong results in Q1 despite having to navigate a number of persistent headwinds. So I'd also like to thank -- send my thanks to our global team for executing with discipline in this challenging environment.  So now let's turn to our first quarter segment financial performance. Starting with our Motion Control Solutions segment, or MCS, Organic sales in the first quarter were up 9.9% from the prior year. The result reflects broad-based growth but with particular strength in the general industrial, forestry and agricultural end markets, partially offset by lapping prior year large project activity in the wind and helicopter aerospace markets.  As in recent quarters, supply chain disruptions continued to impact our ability to deliver resulting in increased backlog and posing a headwind to the top line. And this theme of supply chain-related backlog build can be said of all of our segments.  Adjusted EBITDA margin for the quarter for MCS was 24.8%, down 140 basis points compared to the prior year, factoring in commodity inflation, higher freight costs, updated corporate cost allocations and FX headwinds, largely offset by tailwinds related to favorable price realization, merger synergies, restructuring actions, higher volumes and mix.  These results were in line with our expectations, and we remain on track to deliver the targets we set when we announce this transformative merger. Orders in MCS for the quarter were up approximately 7% and are tracking slightly down in April due primarily to some of the lumpiness resulting from a few large project orders in the prior year month, both on a daily basis.  Turning to Climate Solutions. Organic sales in the first quarter were up 14.9% from the prior year. The increase was driven by broad-based strength, but particularly in North America residential HVAC and in EMEA and a North America general industrial. The business also continued to achieve nice market share gains in the quarter.  The adjusted EBITDA margin in the quarter for climate was 21.1%, down 20 basis points versus the prior year period. Factors impacting this margin include commodity inflation, higher freight costs and supply chain-related frictions, largely offset by price realization, restructuring savings and positive mix. Orders in climate for the quarter were up approximately 11% and are down modestly in April, which we see as timing related, and we fully expect to move back to at least neutral within the next few weeks, despite tough order comps based on our customers' forecasts.  Turning to Commercial Systems. Organic sales in the first quarter were up 24.8% from the prior year. Growth in the quarter reflects strong performance in North America General Industrial, pull pump and large commercial HVAC. Our commercial business also continues to achieve meaningful share gains in the North America general industrial market tied to some of our digital investments.  The adjusted EBITDA margin in the first quarter for Commercial Systems was 21.1%, up 510 basis points compared to the prior year, reflecting favorable price realization, positive mix and volume growth, partially offset by commodity, freight and other non-material inflation in addition to costs associated with supply chain disruptions.  While performance was strong in the Commercial Systems segment during the quarter, and the team is executing extremely well, a portion of the strong EBITDA margin performance was related to the annual inventory revaluation at the beginning of this year and the timing of the associated inventory movement. We expect the segment's EBITDA margins to return to more normal levels in a range of roughly 15% to 17% through the remainder of the year, as the inventory included in the annual revaluation is sold.  Shifting to orders. Segment orders for the first quarter were up 11% and April is tracking roughly flat, which is also consistent with our Q2 expectation. In Industrial Systems, Organic sales in the first quarter were up 7.1% versus the prior year. Principal drivers include strength in Americas general industrial markets, partially offset by weakness in Asia. The adjusted EBITDA margin in the quarter for Industrial was 8.4% as we continue to improve the operational performance of this segment. Orders in Industrial for the quarter were up approximately 16%, and are tracking at a similar rate in April, both on a daily basis.  On the following slide, we highlight some key financial metrics for your review. A couple of notable highlights. First, on the right side of this page, you'll see that we ended the quarter with a net debt-to-EBITDA ratio of 1.7 times or 1.5 times on a pro forma basis. Second, our free cash flow in the quarter was negative $19.3 million. While we historically see a slow start to free cash flow at the beginning of the year, these results were slightly below our expectations.  The supply chain headwinds and impacted our inventory balances at quarter end, a bit more than initially expected. We see this as timing related and fully expect to achieve at least a 100% free cash flow conversion rate for the year. Finally, we spent $114 million on purchasing our shares in the first quarter and now have $320 million remaining on our share purchase authorization.  Moving to the outlook. We are raising our expectation for adjusted earnings per share to a range of $10.10 to $10.70 from our prior range of $10 to $10.60. The range continues to assume a mid- to high-single digit revenue growth rate.  Now before we go to questions, I'd like to touch briefly on our decision to align our inventory accounting approach from LIFO or last in, first out to the FIFO or first-in first-out method. As of January 1, 2022, the company had just under 50% of its inventory, all in the U.S. accounted for under the LIFO method and the remaining 50% under FIFO. Aligning the enterprise on one methodology provides for better consistency, resulting in an improved comparability across segments, regions and business units. Making this adjustment now at the start of the first full year following the recent merger with Rexnord PMC and the acquisition of Arrowhead Systems also makes sense. In addition to the consistency and improved comparability benefits, FIFO allows for better matching of cost of goods sold revenues in a given period, and it reduces the administrative burden of determining LIFO equivalent valuations.  From a guidance perspective, this accounting change has only a negligible impact because we had not anticipated any additional LIFO related expense in our 2022 outlook to begin with. And the cash tax implications resulting from this change should not impact our ability to achieve our targeted 100% annual free cash flow conversion. We've included a table in the appendix of this presentation to reconcile the moderate impact of this change on our P&L.  I will wrap up this call by saying that we are very pleased with the Q1 results and our team's ability to execute in an extremely challenging environment. We are meeting all of our expectations with the merger as well as the newly acquired Arrowhead business. And our outlook remains very positive, considering we are still in the early stages of our continued transformation. And with that, operator, we are now ready to take questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] And the first question we have will come from Mike Halloran of Baird. Please go ahead.
Mike Halloran: Hey. Good morning, everyone. 
Rob Rehard: Good morning. 
Mike Halloran: Industrial orders up, it sounds like the rest of them were closer to flattish cumulatively. But you also have a pretty robust backlog. Maybe talk about the relationship you see between the orders and the backlog as you work through the year here. Obviously, some level of slowing and orders was inevitable given how the backlog has materialized, but maybe put that in context of how you're thinking about the revenue growth, the underlying demand and how this matching or mismatching materializes as you move forward, if that question makes sense.
Louis Pinkham: Yeah. Completely, Mike. I will clarify a couple of things, though orders were up 10% in Q1. And actual it was actually...
Mike Halloran: Yeah. Sorry, Louis. I apologize. I meant in April, I apologize. What that your [Multiple Speakers] 
Louis Pinkham: No, that's okay. That's okay. I will make a point though, when you think about some of the businesses and you look at the compares year-over-year, for example, April last year, orders were up 100% for our Climate business. And so the compares are a little bit tough. Nevertheless, you're right, we've built a pretty strong backlog. Our backlog is roughly up 30% year-over-year in Q1. And if you looked at it at ending backlog, end of the year was actually up 60% year-over-year.  And so the backlog is quite healthy and strong. We are not anticipating a significant reduction in backlog through this year in our current guidance. And that's a conservative approach bluntly. It's all around the supply chain and the murkiness and volatility that we see. We still believe that there's strong demand in most of our markets served. And so from that perspective, we're feeling pretty good about the opportunity for this year and the progression through the year and the backlog will certainly support it. Does that help, Mike?
Mike Halloran: Yes. No, that does. And the follow-up, I suppose is when you think about the order patterns from a customer perspective, do you get a sense that there was a pull forward of some of these orders. And so inevitably, you get maybe an order air pocket, but that's already assumed in backlog? And maybe just a discussion on inventory levels and purchasing patterns at your customer level?
Louis Pinkham: Yes. So it's a great question. As a lead times have extended, the ERP systems of our customers ramp up their minimum order quantities and demand requirements. Really no different than what we're dealing with our supply chain as well as our supply chain lead times have increased. We've certainly ramped up our needs as well. So I think there's some of that. When we think about Q2 as an example, we're forecasting orders in Q2 to be relatively flat compared to last year.  Now from a full year perspective, we do expect orders to be up year-over-year, but Q2, we expect them to be relatively flat. So yes, I absolutely believe because of the supply chain challenges that our customers have and the longer lead times, our customers have placed a bit stronger demand on us to satisfy those requirements.
Mike Halloran: Thanks for the color. I appreciate it.
Louis Pinkham: Sure.
Operator: Next, we have Jeff Hammond of KeyBanc.
Jeff Hammond: Hey. Good morning, guys.
Louis Pinkham: Good morning.
Rob Rehard: Good morning, Jeff. 
Jeff Hammond: Maybe just back on the kind of order movement I think you mentioned, Louis, some markets still feel very good and maybe there's just some timing and some -- maybe some pockets where you're seeing real slowing. So just maybe talk about where you think there's real demand risk versus just some comp noise or supply chain noise?
Louis Pinkham: And I would tell you, Jeff, it's already embedded in our guidance, but wind is a market that we've seen soften mostly because of larger projects last year and the compares. We are seeing some softening in China, moderating, certainly concerns around COVID lockdowns. And then we have concerns around EMEA as well. Now we haven't really seen that in a demand or order slowdown bluntly. We did initially, but that rebounded through the quarter at our European operations and businesses, but that's a current certain for us. Otherwise, everything is quite strong and positive. And so yeah, we feel good and part of the reason why we raised our guidance slightly because we feel good that the demand is still there and they're still strengthen that demand. So really, from a market perspective, other than wind and a little bit in China, we think the overall demand is still healthy.
Jeff Hammond: Okay. Very helpful. And then, just in MCS, Rob, I think you mentioned some corporate allocation. I'm just wondering what the core incremental margins were in MCS? And if there was a synergy number that you were able to give us in 1Q and kind of how that builds through the year.
Robert Rehard: Sure. So the incrementals in MCS were a little below what we might normally see in that business due to some of the -- as I said, the inflation that we're seeing that hit that business, the freight inflation and other inflation. So it's a little bit lower than what we might expect, we expect that business to perform above 30%. And then the second half of the question was around the synergy. Synergies that we saw in the first quarter. We saw about $8 million to $10 million of synergies that came through in the quarter, which is really in -- absolutely in line with what we thought even tracking slightly ahead, if you will, in terms of the synergy realization.
Jeff Hammond: Okay. And how do you see that building? I mean, I guess on the point of kind of the temporary price cost dynamics, freight and then the build in synergies, like just trying to get a better sense of kind of how the margins kind of trend through the year? Is this the low point, et cetera.
Robert Rehard: Yeah. So let me give you some color on that. So the margins in MCS the expectations there that the margins will continue to improve every quarter as we go through the year. And that is absolutely tied to the performance that we're talking about and on the synergies and realizing those synergies. And as we said, we have good visibility and are very confident in our ability to achieve the $70 million exit rate as we come out of this first year.
Jeff Hammond: Okay. I appreciate it guys.
Louis Pinkham: Great. Thank you, Jeff.
Operator: And next, we have Nigel Coe of Wolfe Research.
Nigel Coe: Thanks. Good morning, everyone.
Louis Pinkham: Good morning, Nigel.
Nigel Coe: Good morning, guys. Going back to the orders, I mean, you've got really, really impossible comps coming up. So I want to just focus more on the book-to-bill. I mean you talked about the backlog build during 1Q, very healthy. But what about April, even though you had down orders, are you still building backlog in April?
Louis Pinkham: Yeah. We're not anticipating to build further backlog in April. So our book-to-bill was -- and I don't have the numbers exactly right in front of me, Nigel, but it was about $1.1 million in first quarter, and it should be relatively flat one for second quarter.
Nigel Coe: Okay. Thanks. That's helpful. And then just going back to FIFO, the commercial margins. So it sounds like this was maybe a consequence of this change from LIFO to FIFO the push through on the commercial margins. Number one, is that correct? And then secondly, any way to think about what the benefit would have been intra quarter for 1Q from that change?
Robert Rehard: So thank you for the question. But let me be very clear. The first quarter commercial margin was more around the benefit of the annual inventory revaluation relative to the timing of the inventory movements that were included in the reval. So when you do your cost role, the assumption is that there's -- the theory that there's perfect timing with the turns of your inventory. But when there's a bit of a timing difference, which is what happened in commercial, you will see that, that flows through at a higher rate. So in other words, not as much inventory flowed through in the quarter that was assumed when we did the revaluation. So it isn't related to the life -- the change from LIFO to FIFO. Now the -- when you said -- your second part of that question was, what about the impact of that change to the business, an immaterial amount. It would -- the impact of Q1 would have been very immaterial, but it would not it is not the reason for the commercial margin improvement. That -- we estimate that, that impact in commercial was approximately $10 million. And so if you were to look at it that way and you were to back out that $10 million from that number, you see the margins in commercial are closer to about 17% relative to the 21% that was posted.
Louis Pinkham: Yeah. Nigel, I'm going to follow on here because when you look at commercial systems and you probably recall that I've said a number of times, our commercial systems business is a diamond in the rough. And we are starting to see some of those benefits. So the fact that even when you think about the business when you pull out the cost reroll and it's about 17% -- 17%, 18% EBITDA margins in the quarter, that's solid. And they were hitting on all cylinders. They've got good strength in new products.  Our digital customer capabilities to grow share have improved, and our service levels are allowing us to slightly beat our competitors and win more. So commercial had a very strong quarter. Now as Rob said, we think that will moderate slightly. And our belief is that the EBITDA margins will return to about a 15% to 17% range for the remainder of the year, but Q1 was a strong quarter for our Commercial Systems business. I couldn't be more proud of that team.
Nigel Coe: Yeah. 15% to 17% is still very healthy. Okay, Louis. Thank you very much.
Louis Pinkham: Sure.
Operator: Next, we have Chris Glynn of Oppenheimer.
Chris Glynn: Thank you and Good morning.
Louis Pinkham: Good morning, Chris.
Chris Glynn: Curious in MCS, if you think about the Rexnord piece here, they've got a nice aerospace business. I think it's OE centric. So a little bit of a delay versus the aftermarket cycle. But how is that looking for ramp intensity as you move through the quarters this year and what effect might that have on EBITDA margins relative to the first quarter, maybe a bit similar to how you talked about commercial subsequent to 1Q?
Louis Pinkham: Yes. So we do have a solid strong aerospace business pre-Covid, it's about $250 million in revenue, that's about $50 million from the legacy Regal and $200 million from Rexnord. That business has been rebounding strong orders growth. We expect revenue to continue to grow through the year. I would tell you the margins in that business are not quite at our fleet average. And so we're working those and we see a clear path to get those to our fleet average. More of the benefit of the MCS EBITDA improvement is going to come from the synergy. And we see a step function every quarter as the quarter progressed this year. And again, more from synergy benefit than from aerospace.
Chris Glynn: Great. Thanks. And then overall, just going back to the FIFO change. So as product expenses and inflation push a little right, how should we think of that impact? Do you expect to maintain price cost positive every quarter this year, like for the last five plus?
Robert Rehard: Yeah. Short answer on that one is absolutely. We have great confidence in our team's ability to implement price increases on our non-contracted business effectively to cover off on inflation and then our two way material price formula as well, there is often a bit of a lag, we're very confident that those will catch up, but we think we will be price/cost positive every quarter this year.
Louis Pinkham: And Chris, it's actually been 18 quarters that we've been price/cost positive, and I couldn't agree with Rob more the way we manage our business, our cadence, our 80/20 approach, we will manage through the inflationary period, which we do expect, but we will be price/cost positive.
Chris Glynn: Great. Appreciate the color. Thanks.
Louis Pinkham: Sure.
Operator: The next question, we have will come from Julian Mitchell of Barclays.
Julian Mitchell: Hi. Good morning.
Louis Pinkham: Good morning.
Julian Mitchell: Good morning. Maybe just the first question around what you're seeing and sort of expecting in the U.S. consumer or resi facing businesses. You did not call those out as a narrow of concern. It's clearly something investors that were extremely concerned about right now. So maybe help us understand kind of how you see those resi orders in climate playing out this quarter and also sort of expectations around the pool segment within commercial? And just sort of how you're assessing kind of sell-through, sell-in dynamics in that U.S. resi market.
Louis Pinkham: Yeah. Great. Julian, I'll take that here. So first of all, we think the underlying end market demand remains incredibly healthy. We had anticipated a slower order growth rate in climate, mostly due to very tough comps. In my earlier comments, I had shared that remember that orders were up 100% year-over-year in April. And our climate backlog is up 20% year-over-year at the end of first quarter and was up 60% year-over-year at the end of last year. So our backlog is very healthy.  And again, we think the underlying demand is healthy. We also believe that there's a restock opportunity that remains because of the supply chain constraints. We work with our OEMs very, very closely. We understand their WIP inventories and the simple fact that we haven't been able to supply especially the variable speed motors to the extent that they would consume them. And so that -- and given that strong resi new construction, the fact that we believe we are gaining share as well, especially in the variable speed motor space where we can differentiate on technology but also on our service levels. We're feeling pretty bullish.  And then longer term, work from home, IAQ, the reg changes of 2023, there's still tailwinds here that will benefit climate side of our business, certainly in 2022. And then specific to pool, I'll remind everyone that pool is only about 3% of our sales. While some inventories are currently high, in the channel right now, those are not our inventories. We have validated that. We are close to our distribution channel. We are close to our OEMs. We know that very clearly. You take that and you look at the pooled DOE regs that went into place in the first half of last year, that's a bit of a mix up for us.  And then just the secular trends that are highly favorable around southern migration, backyard living, millennial entering in the housing market, the urbanization. All of these are benefits and I think you saw in the results of our OEMs and distributors that they're doing well. You add that to our new product development efforts and a new product that we've launched in the last six months that is more compact and higher energy efficient than our competitors, we feel there's a strong tailwind. Now again, it's 3% of our business, but we feel a strong tailwind.
Julian Mitchell: Thanks. And then just my second question would be sort of any high level context you could give us around the second quarter expectations. I realize you don't give explicit sort of quarterly financial guidance, but there is a sort of a fast moving macro context here. So should we think about second quarter being sort of sales up slightly sequentially, maybe margins down slightly sequentially. Is that the right kind of framework.
Robert Rehard: Yeah, Julian. Rob here. I'll take that one. So you're right, we don't normally give a lot of color on the next quarter. But as you said, considering the volatility in the market, it certainly is a benefit to do that. First of all, we'd say the top line is relatively flat to slightly up overall when you're looking at cadence there from first to second. We would say that our -- and then when it comes to margins, overall, EBITDA margin should be relatively flat in the second quarter to the first quarter. Of course, there's a little bit of movement between the segments. We've already commented earlier that we expect commercial to fall in the range of around 15% to 17% over the next few quarters. So that also applies to the second quarter.  Industrial, we see that to continue to improve in Q2 and beyond based on the operational improvements we made in that business. We see Climate relatively flat relative to the first quarter. And then as I said earlier, MCS continues to improve at a moderate pace as we go through each quarter throughout the year. when we make our -- when we create our forecast at this point, we're looking at the supply chain the issues around supply chain, those challenges, in particular, our assumption is that stays relatively constant with the way it is today. But we're also expecting that China actually recovers a little bit in May.  So hey, it could be a little better than what I just described. It could be a little bit worse than what I just described. But I think that's pretty much middle of the fairway in the way we're thinking about it right now.
Julian Mitchell: Very helpful. Thank you.
Louis Pinkham: Great.
Operator: The next question, we have will come from Chris Dankert of Loop Capital.
Chris Dankert: Hey. Thanks for taking the question. 
Louis Pinkham: Hi, Chris. 
Chris Dankert: I guess zooming out a little bit to a higher level here. A couple of years back, we highlighted some of the product rationalization efforts and some targets there. I guess any kind of update as specifically as you want to get by segment or kind of overall just on how far we are along down that path on product rationalization here?
Louis Pinkham: Yes. Good question, Chris. I'd say different by different segments, climates and really good, solid position, probably not much more to do. Commercial is still working through and really driving 80/20 and thinking, as we've talked previously, Regal is a formation of a number of different motor companies and then rationalizing the SKU levels there. I'd say we're probably halfway to slightly above that. Industrial will continue to work pruning and managing our SKU counts and to drive to higher margins. That's a big part of our 80/20 initiatives there.  And then lastly, our MCS, the nice part about MCS of bringing these two strong businesses together is product line simplification in a number of spaces. We've just reviewed something the other day that we'll be able to take more than 50% of our SKUs out of a product line and see over time, $10 million of incremental savings that we haven't even baked into our plans yet. And so there's opportunities still out there. What you can be assured of Regal Rexnord is that we drive 80/20, and we will constantly evaluate segment reevaluate to understand how best to service our highly valued customers, but also to move more and more of our products to a products. So I'm not giving you exact numbers here, Chris, but I'd tell you, there's still plenty of self-help that we have here.
Chris Dankert: No, that's a really helpful update. Thank you so much for kind of walking through that. And I guess, the follow-up I have here is thinking about footprint consolidation, specifically for industrial, I think the historical plan was, hey, let's cut out about eight locations there. If I look back at the filings you guys have, we haven't made a lot of progress there or maybe -- I mean, actually any technically. Am I misreading something in the filings, have we been seeing closures there? Is it a matter of supply chain slowing down some of that footprint consolidation? Just any comments on industrial specifically any kind of how that square footage rationalization is progressing here?
Louis Pinkham: Yeah. So I'm not sure where the eight number is coming from. That -- since I've been at Regal Rexnord it's been three years now, that has never been a big part of our plans. The big part of our plans was much of our production was coming out of China, and we needed to have a regional capability, and that was the establishment of our MGM facility now in Monterrey. What we did do there is we took two facilities, and we consolidated it into one and expanded that facility.  There is perhaps one more footprint consolidation in time, but I don't think there's a lot more footprint rationalization in industrial. More of the effort has been placed on starting up that Monterrey facility, and I couldn't be more pleased with the production and the output of that facility today and improving the supply chain. The supply chain is long in our industrial business. And we've been rationalizing that significantly over the last two years. Meaning getting our suppliers closer to our manufacturing facilities. Beyond that, hopefully, that answers it, again, like I said, I don't know where that eight site rationalization is coming from. Sorry about that.
Chris Dankert: Yes. No worries. I'll follow up a little bit off-line, but thanks so much for the color. And again, congrats on a really nice start to the year here.
Louis Pinkham: Yeah. Thank you very much.
Operator: [Operator Instructions] Next, we have Walt Liptak of Seaport Research.
Walt Liptak: Hey. Good morning, guys. I'll chime in with a congratulations to a strong start too.
Louis Pinkham: Thanks, Walt.
Walt Liptak: I wanted to ask first about the pricing strategy. And in the first quarter of the organic revenue growth, can you give us an idea of how much was unit volume growth versus selling price increases?
Robert Rehard: Sure. So the growth in the first quarter was primarily the market and price. Now price made up the majority of the organic growth that we're seeing and what we communicated during the call.
Walt Liptak: Okay. Great. Okay. Perfect. And then inventory levels, you had the nice build in the quarter to protect against uncertainty. Are you expecting inventories will come down later in the year or will you continue to build them or keep them at this level?
Robert Rehard: We absolutely expect inventory levels to come down at the end of the year. Actually, in the -- more in the second half of the year, we do expect that inventory will be a source of cash as we exit this year and as a -- and it will be a good -- strong contributor to our free cash flow conversion and our operating cash flows.
Walt Liptak: Okay. Great. And then, excuse me, of the $70 million in synergies, can you give us an update just on how much are you into that, to getting to that $70 million target? You mentioned the $8 million to $10 million so far that you got in the first quarter. But where are we in that journey to the $70 million?
Louis Pinkham: Yeah. I mean we have a very clear path. We've been able to get after the general and administrative indirect and footprint-related synergies a bit faster than expected. And so I feel really good about that. A little bit of uncertainty around the cadence of sourcing savings, so maybe a little further -- a little behind on direct material, but overall, ahead of our objectives. And so like Rob said, $8 million to $10 million first quarter, and that will improve as the year progresses, which will, of course, help the EBITDA margin improvement in MCS and we have a clear path to be at the $70 million run rate by the end of the year, if not maybe a little bit stronger than that.
Walt Liptak: Okay. Great. Okay. Thanks for the color.
Louis Pinkham: Sure.
Robert Rehard: Thanks, Walt.
Operator: Sorry, no additional questions at this time. We'll go and conclude our question-and-answers session. I would now like to turn the conference call back over to Mr. Louis Pinkham, CEO, for any closing remarks. Sir?
Louis Pinkham: Great. Thanks, operator. And thanks to our investors and analysts for joining us today. As I look ahead to the remainder of 2022, despite the many challenges we are facing, -- what keeps me excited is the sizable opportunity for value creation that is under our control. From our new product development pipelines, and our outgrowth initiatives to ongoing restructuring actions to sizable merger synergies to a tremendous opportunity tied to capital deployment. I am confident that the best days for Regal Rexnord for our customers, our shareholders and our associates remain firmly ahead of us. Thank you again for joining us today, and thank you for your interest in Regal Rexnord. Have a good day.
Operator: And we thank you also sir to yourself and to the rest of the management team for your time. Again, the conference call has now concluded. At this time, you may disconnect your lines. Thank you. Take care and have a blessed day, everyone. Thank you.